Operator: Good afternoon, and thank you for joining today's call. With me today are George Colony, Forrester's Chairman of the Board and CEO; and Mike Doyle, Forrester's Chief Financial Officer. George will open the call. Mike Doyle will then follow to discuss our operations and financial review. We will then open the call to question and answer. A replay of this call will be available until May 27, 2016, and can be accessed by dialing 1 (888) 843-7419; or internationally, 1 (630) 651-3042. Please reference the passcode 6414233#.
 Before we begin, I would like to remind you that this call will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Words such as expects, believes, anticipates, intends, plans, estimates or similar expressions, are intended to identify these forward-looking statements. These statements are based on the company's current plans and expectations and involve risks and uncertainties that could cause future activities and results of operations to be materially different from those set forth in the forward-looking statements. Some of the important factors that could cause actual results to differ are discussed in our reports and filings with the Securities and Exchange Commission. The company undertakes no obligation to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise.
 I will now turn the call over to George Colony. 
George Colony: Good afternoon, and thanks for joining the call. I'm going to say a few words about the company's performance in the quarter and outline how our year has kicked off. I'll then hand the call off to Mike Doyle, the company's CFO, who will give a financial review of Q1. And following Mike's remarks, we will then take questions.
 The company followed up a strong fourth quarter with continued good performance in Q1. We are exceeding our internal plans, and I'm happy to report that we achieved EPS and revenue guidance for the quarter.
 5 of our 6 sales teams hit plan, with 4 of those teams beating their targets. We performed well internationally, with Asia and Europe producing solid results. The company started the year with good momentum, which we will look to sustain through the balance of 2016.
 I wanted to say a few words about how we are executing on our strategy. Now as you all know, Forrester helps companies succeed in the age of the customer, working to ensure that our clients can win, serve and retain increasingly empowered customers.
 Our analyst consultants and data specialists are increasingly focused on how companies should operate to be customer-obsessed. We are moving out of theory into identifying the best structure, organization, culture and technology for the new age.
 We are researching the companies that achieve high scores on Forrester's Customer Experience Index to diagnose exactly what they are doing to delight customers. Building customer obsession requires a new generation of operating imperatives, and we are working with our clients to move them forward on this voyage.
 I want to turn to products for a few moments. Several of our products that were struggling in 2015 are moving back on track. Under the leadership of John Sellazzo, who joined Forrester from IDG in Q4 of 2015, events have restabilized. This week in New York City, we are holding our marketing leadership forum, which has 15% more attendees than it did a year ago. Leadership Boards achieved its plan in Q1 as it did in Q4. Colleen Donahue, being a long-time Forrester-ite, was chosen to run Boards and she has been instrumental in bringing this product back to growth.
 Strategy consulting. This is the group of professionals who perform our long-term projects, has shown an even performance over the last 4 quarters. In the second half of 2015, I made the decision to begin a search for a proven operational executive to run the consulting organization to move it into maturity after 2 years of launch. 
 And I'm very pleased to announce that Mack Brothers, a former consulting head of the research company IHS, will be joining the company as our new Chief Consulting Officer. Mack managed a $90 million consulting business at IHS, where he led a team of more than 100 professionals. And we are especially impressed by Mack's proven ability to grow a consulting business alongside a syndicated business and to find healthy synergy between the 2 portfolios. So I'm very pleased to have Mack joining our team.
 In addition to the product space, we are focused in 2 other areas. Number one, increasing sales productivity; and two, digital. Now driving sales productivity is a vast discipline, and I only want to talk about one facet today. As the company strategy has sharpened, we are working to identify the right group of companies that our sales force should be focused on. And these are the companies that are most challenged and disrupted by the Age of the Customer. We are creating an ideal customer profile or ICP and these are the companies that will get the greatest value from our work and therefore, have the highest probability of renewing and enriching.
 By identifying Forrester's ICPs, the company can match the right client with the right product and sales team at the right time. While our work is not yet complete, our early targets include the following industries: one, financial services; two, insurance; three, healthcare; four, retail; and five, government.
 Converting Forrester's business to be more digital is another primary area of focus for us this year. There was a broad effort underway at the company to move many of our products to digital and to create new products which are digital at birth. And as I noted on the Q4 call, we have been developing an iPhone app for a client so they can quickly and efficiently access our research at anytime and anyplace. And that app launched last week and promotion with clients is beginning this week at our forum in New York City. 
 Our digital reprints business is now fully operational. The digital offering is gaining fast traction. The product was up 34% in bookings as compared with non-digital reprints in Q1 of 2015.
 This product, the digital reprints product, originated in Forrester labs. This is an effort run by the technology management group at Forrester to quickly and cheaply launch test digital products for targeted groups of clients. We currently have 5 lab products in the field. We would expect to launch one new product out of the labs per year.
 So to conclude my portion of the call, 2016 has gotten off to an excellent start and we are looking to sustain that performance throughout the year. We have filled all of our leadership positions and Leadership Boards and events are back on track, and finally, our march toward digital is on pace.
 We still have much work to do, but I'm happy with where we stand at this stage of the year. And I'd now like to turn the call over to Mike Doyle, Forrester's CFO. Mike? 
Michael Doyle: Thank you, George. For the benefit of those on the call, Mike Morhardt, our Chief Sales Officer, who normally joins us for these calls, isn't going to be here today. He is actually at the marketing leadership forum that George mentioned earlier with clients, so he's not going to participate.
 I'll now begin my review of Forrester's financial performance for the first quarter of 2016, including a look at our financial results, the balance sheet at March 31, our first quarter metrics and the outlook for the second quarter and full year 2016.
 Please note that the income statement numbers and reporting are pro forma and exclude the following item: stock-based compensation expense; amortization of intangibles; reorganization costs; and net gains and losses from investments. Also, for 2016, we continue to utilize an effective tax rate of 40% for pro forma purposes.
 For the first quarter of 2016, Forrester met revenue and pro forma operating margin and EPS guidance. We followed a strong Q4 with solid execution and strong bookings performance across most product and client segments in the first quarter of this year.
 We continue to exceed expectation in Forrester Events and Forrester Connect, which had been challenges for the first 3 quarters of 2015. We experienced growth in most geographies with our European business exceeding expectations.
 We met our margin and EPS guidance for the quarter as we continue to maintain tight control on our expenses, while continuing to invest in making our products more digital and improving the client experience. 
 Now let me turn to a more detailed review of our first quarter results. Forrester's first quarter revenue increased by 3% to $77.4 million from $75.2 million in the first quarter of 2015. On a constant currency basis, revenue grew at 4%. First quarter research services revenue increased 3% to $53.2 million from $51.9 million last year and represented 69% of total revenue for the quarter. On a constant currency basis, research services revenue grew by 4%.
 First quarter advisory services and event revenue increased 4% to $24.2 million from $23.3 million in the first quarter of 2015 and represented 31% of total revenue for the quarter. Foreign exchange had less than a 1% impact to the advisory services and event revenue growth.
 International revenue mix was 23% for the period ending March 31, 2016, compared to 23% in the same quarter of last year. Adjusted for foreign exchange, 24% of the revenue was generated outside of the U.S.
 I'd now like to take you through the activity behind the revenue, starting with Forrester Research. Forrester's published research and decision tools enable clients to better anticipate and capitalize on the disruptive forces affecting their businesses and organizations. We believe Forrester research provides insights and frameworks to drive growth in a complex and dynamic market.
 In the first quarter of 2016, Forrester's research library included 59 playbooks, the addition of 478 new documents, and we hosted 41 webinars for our clients. As of March 31, 2016, our top 3 research roles where the CIO, with 9,001 numbers; application development and delivery professionals with 6,100 members; and analyst relations with 4,949 members.
 On to our Forrester Connect offerings, which encompass our Leadership Boards and executive programs. The Forrester Connect offerings are designed to help clients to connect with peers and Forrester's products and professionals and to coach executives to lead far-reaching change within their organization. As of March 31, 2016, Forrester Connect had a total of 1,474 members, down 3% compared to the same time last year.
 Membership declines reflect -- versus last year reflects the rightsizing of several councils to optimize client experience and attrition and traditional IT roles not aligned with our Age of the Customer strategy. Bookings performance for the quarter was up versus prior year, so I expect to see member count growing as the year progresses.
 Forrester data products and services are designed to provide fact-based customer insights to our clients. Clients can leverage our data products and services or choose to have us conduct custom data analysis on their behalf. On a year-over-year basis, revenue increased by 14% for the first quarter and 15% on an FX neutral basis, driven by strong demand for our custom data projects.
 Forrester Consulting, which includes our advisory and consulting business, saw total revenue for the first quarter increased by 3% compared to the prior year and 4% on an FX neutral basis. During the first quarter of 2016, we had a reduction on our workforce of approximately 20 people, of which approximately half was project consultants. This adversely impacted revenue during the quarter, which was partially offset by strong performance in analyst advisory and content marketing consulting.
 I expect we will continue to have downward pressure on project consulting revenue in the near term as our new head of consulting ramps and determines where he will invest for growth.
 Forrester Events. We held no events in the first quarter as we rebranded a number of events and shifted them to later in the year. That said, for the second straight quarter, events booking exceeded expectations and we are happy with the direction of this business.
 I'll now highlight the expense and income portions of the income statement. Operating expenses for the first quarter was $71.8 million, up 2% from $70.1 million in the prior year and up 3% on an FX neutral basis. Cost of services and fulfillment increased by 2% or by 3% on an FX neutral basis due to higher outsource expenses related to our consulting business and to annual merit increases and partially offset by lower events expense. Selling and marketing expenses increased by 3% or 4% on a constant currency basis compared to the same period last year related to higher headcount in sales as well as annual merit increases and higher travel and entertainment expense.
 General and administrative costs increased by 3% or by 4% on an FX neutral basis, due mainly to higher professional services expenses. Overall, headcount increased by 1% compared to the first quarter of 2015, though it decreased by 2% compared to the fourth quarter as a result of the reorganization that we previously announced. At the end of the first quarter, we had a total staff of 1,322, including a research and consulting staff of 484 and a sales staff of 516.
 Research and consulting headcount was essentially flat year-over-year and down 3% sequentially. Sales headcount increased by 2% versus prior year, but decreased by 2% sequentially. Sales rep headcount was essentially flat compared to the first quarter of 2015 and decreased by 3% sequentially.
 Sales headcount is down for a couple of reasons. As Mike Morhardt mentioned in our year-end call, we are actively segmenting our clients and prospects based on buying behavior. And as we do that, we are aligning our sales organization to those clients. For that reason, we consciously slowed sales recruiting in the first half of 2016 as we manage this process. In addition, Q1 has been our highest attrition quarter for sales, so we expected a spike in attrition. The combination of slowing recruiting and higher attrition resulted in declining sales headcount.
 Operating income was $5.6 million or 7.3% of revenue compared with $5.1 million or $6.8 million of revenue in the first quarter of 2015. This is an increase of 10% year-over-year.
 Other income for the quarter was negative $328,000 compared to a positive $282,000 in the first quarter of 2015. Net income for the first quarter was $3.2 million and earnings per share was $0.18 on diluted weighted average shares outstanding of 17.9 million compared with net income of $3.3 million and earnings per share of $0.18 on 18.4 million diluted weighted average shares outstanding in the first quarter of last year.
 And now I'll review Forrester's first quarter metrics to provide more perspective on the operating results for the quarter. Agreement value. This represents the total value of all contracts for research and advisory services in place without regard to the amount of revenue that has already been recognized. As of March 31, 2016, agreement value was $240.5 million, up 3% from the first quarter of 2015 and up 5% on a constant currency basis. As of March 31, 2016, our total for client companies was 2,477, up 6 from December 31, 2015, and up 13 compared to the first quarter of 2015.
 Client count, unlike the retention and enrichment metrics, is a point-in-time metric at the end of each quarter. Forrester's retention rate for client companies was 77% as of March 31, 2016, unchanged from the prior quarter and down 2 points compared to last year. Our dollar retention rate decreased by 1 point to 88% compared to the prior quarter and decreased by 2 points compared to last year. Our enrichment rate was 97% for the period ending March 31, 2016, down 1 point compared to the prior quarter and unchanged compared to last year.
 We calculate client and dollar retention rates and enrichment rates on a rolling 12-month basis, due to the fluctuations which can occur between quarters with deals that close early or slip into the next quarter. The rolling 12-month methodology captures the proper trend information.
 Now I'd like to review the balance sheet. Our total cash and marketable securities at March 31 was $120 million, which is an increase of $18.9 million from $101.1 million at year-end 2015.
 Cash from operations was $21.5 million for the quarter. This compared to $16.3 million in the first quarter of last year, up 32% from last year due primarily to the increased net income, higher bookings and improved collections.
 We received $1.2 million in cash from options exercised and our employee stock purchase plan for the quarter as compared to $1.3 million in the first quarter of last year. We also paid a dividend in the first quarter, which amounted to $3.2 million or $0.18 per share. Accounts receivable at March 31, 2016, was $49.4 million compared to $50 million as of March 31, 2015.
 Our day sales outstanding at March 31, 2016, was 58 days compared to 60 days at March 31, 2015. And accounts receivable over 90 days was 5% at both March 31, 2016, and 2015. Deferred revenue at March 31, 2016, was $154.8 million, an increase of 3% compared to March 31 of 2015.
 In closing, it was a good start to 2016. Our financial results were strong with revenue coming in at the upper end of guidance and operating margin and EPS solidly in the middle of our guidance range. We accomplished those results while being active on a number of fronts. We continued to invest to improve our client interface. We rolled out our iPhone app and digital reprint product and streamlined our organization.
 Leadership changes in our Forrester Events and leadership boards are having the desired impact on our business, and we're looking forward to Mack Brothers joining Forrester to lead our consulting organization. As George mentioned, we've made a lot of progress with significant improvement in a number of areas. Going forward, our focus narrows on the few areas left to improve in order to bring our top line growth back to historical levels.
 Now let me take you through the specifics of our guidance for the second quarter and full year 2016. As a reminder, our guidance excludes the following: amortization of intangible assets, which we expect to be approximately $200,000 for the second quarter and approximately $800,000 for the full year 2016; stock-based compensation expense of $1.5 million to $1.7 million for the second quarter and $8.3 million to $8.8 million for the full year 2016; reorganization cost of $100,000 for the second quarter and $1.1 million for the full year 2016; and any investment gains and losses.
 Forrester is providing second quarter 2016 financial guidance as follows: total revenues of approximately $83.5 million to $86.5 million; pro forma operating margin of approximately 11% to 13%; pro forma effective tax rate of 40%; pro forma diluted earnings per share of approximately $0.32 to $0.37. Our full-year guidance for 2016 is unchanged and is as follows: total revenues of approximately $322 million to $330 million; pro forma operating margin of approximately 10.5% to 11.5%; pro forma effective tax rate of 40%; pro forma diluted earnings per share of approximately $1.15 to $1.22. We provided guidance on a GAAP basis for the second quarter and full year 2016 in our press release and 8-K filed today.
 Thanks very much. And now I'm going to turn the call over to the operator for the Q&A portion of our call. 
Operator: [Operator Instructions] And our first question comes from Timothy McHugh from William Blair. 
Timothy McHugh: George, just wanted to follow-up. The Leadership Boards at Forrester Connect. I guess, is it simply rightsizing it and being more focused than that you feel is setting that in the right trajectory? Or I guess, what -- it sounds like it's getting a little better, I guess, so just, I guess, more color on if you feel like you've really kind of -- what you've changed there in the strategy that's working behind it? 
Michael Doyle: Sure. I would -- Tim, it's Mike. I would say that -- a couple of things. I think the rightsizing was important. I think the fundamental value proposition for us is a combination of pure networking and the ability for people to get information and access it. And some councils became too large or where the mix wasn't appropriate. We really needed to right size to get the right experience. And then, when we got into our product base organization under Cliff Condon, his view was we had drifted from an execution standpoint. The counsels that worked well followed the core guiding principles that we had established a long time ago as it relates to Leadership Boards and the councils that struggled didn't, so it was very much about execution and I think getting the right leader in place and putting a discipline around that has had a very immediate benefit for us. So now it's a matter of -- we've got that in place, it's now getting back to sort of the basics of selling the boards and building that business back. So very happy with the last couple of quarters. 
George Colony: Just to amplify -- this is Tim. The boards are running at separate businesses. So you had Board A and Board B that were yielding very high value. Our sales force understood them and trusted them, but then you had Boards D, E and F that were running very different -- very differently and the sales force couldn't quite understand them, so what's happened in the last 2 years and really with Colleen taking the head position, is that we're standard -- there's a standard operating model for all the boards that are running in the same way now. And that's enabling our sales force to trust them, to understand them and also the value that's being yielded is much more standardized. There's also one other -- you want to take that issue? Okay. 
Michael Doyle: Okay. Yes. We did make some changes to our product too, Tim. We had products that had different upgrades and attachments to them that we cleaned up. I mean, I think we're getting back to a very good disciplined offering that is a value proposition that our clients understand and to George's point, our sales organization understands. When you have those 2 dynamics working for you, we have what we need in place now to really get this thing moving. 
George Colony: There was a funky upgrade pricing model that we had for certain clients and we've eliminated that over the last 1.5 year that's really helped. That helped you? 
Timothy McHugh: Yes, that's helpful context. And then let me just ask, on the sales kind of comments that you made, the sales force. I get the logic on given kind of some of the changes you were making, why you slowed the headcount growth. But to the extent you're trying to drive, I guess, agreement value growth better than even the mid-single digits here, how much of an issue are -- or what's the risk late this year we're going to be hearing that that's just -- we need time now to rebuild the sales force growth rate to drive that forward here, I guess? There's just a gap here now that we're going to have to absorb. 
Michael Doyle: Yes -- no, it's a great question. And if Mike were here, and he's going to lecture me when he gets back, that I should have inserted this into my comments. Essentially, we're going to be -- as the year progresses, we'll begin ramping up hiring in a more aggressive way so that, in fact, we are rolling into next year with the ability to deliver double-digit bookings growth. So we're looking at that, plus productivity. The realignment and the fine-tuning that we're doing with our customers and aligning sales to that, is very much about our productivity discussion to it, Mike, so we see getting to double-digit next year is very much a product of aligning correctly this year so that we can get productivity out of the existing sales reps as well as new headcount hires and getting them ramped and ready to go before the end of the year. So that's still in the plan and I should have probably talked about that in my initial comments, Tim. 
George Colony: So this is very conscious, Tim. This is the plan that we're running for the year. It's not like we're -- we're not falling into this. We are -- we're executing to this plan. 
Operator: And our next question comes from Bill Sutherland from Emerging Growth Equities. 
William Sutherland: Mike, George, the follow-up on Tim's question. So not to cut it too fine, but -- so the move to significantly higher bookings growth is probably not in the cards for your year-end sales push? 
Michael Doyle: Actually, I would say that -- no it is, it actually is, Bill. I think the expectation is that we're going to have a steady build up. That there's not just some hockey stick the game plan for us is that bookings build over the course of the year and that by year end, we need to have momentum that is carrying in that's already at or very close to a double-digit number. So that's how we're building out our plan. That's the intent for this year. It should ramp ideally in a pretty consistent manner, Bill. 
George Colony: Yes, not to be too mysterious here on this question, we are doing work internally. We hadn't talked about it today on the call, but we're doing work internally to significantly drive sales productivity. So and we would like to talk about that on the Q2 and Q3 calls, but we're making moves internally to make that happen. So this is all according to our plan. 
William Sutherland: So some of this attrition -- I mean how much of it was voluntary? 
Michael Doyle: I would say that, as Mike looked at it, decent amount of voluntary, I would say that we always get attrition in Q1. I mean, it just -- people get their big commission checks from year-end and people depart. And with all of that, we had some that we will label regrettable. We'd like to have them back. We're under a lot of competitive pressure, particularly in the West Coast where we're seeing some big vendors who we do business with and will go unnamed who are coming after our people. So we're dealing with that issue, and it's just the, what I would call the normal level that occurs in Q1 and we see it every year for the last couple of years because of the way the compensation system has changed. They make our sales reps get a bigger commission after they clear 85% of the number for the year and that typically occurs in the fourth quarter, and then people are making a decision, they typically will leave in Q1. So some of it was expected. So some of it was expected, some was frustrating and a little unexpected. And that hurts. You don't want to lose anybody who's performing and is fully ramped, but you expect a certain amount, probably a little bit above what we had hoped for. That said, January and February were high, March settled back down to normal rates and April's at a normal rate. So I feel like we saw our spike and now we're trying to get back into a normal rhythm here. 
William Sutherland: Yes, I was just thinking towards George's point about alignment increasing product -- or just increasing productivity, part of that might have been a little bit of thinning of the herd, but... 
Michael Doyle: The other thing that we get was aligned, but there's 2 things that are going on and we'll get into more detail probably in the second quarter call, but it's a combination of alignment, both with clients and then internally as we align our support resources around the selling organization, so they're spending less time servicing and more time selling. And Mike will cover the details probably in the second quarter call, but he's got some interesting work that's going on that is all good for us and makes a lot of sense, and I think it's going to help us a lot. 
George Colony: Yes, so the glimmer of that was what I talked about today, Mike talked a little bit about it as well, the -- this ideal client profile work that we're doing, so we ensure our sales force is focused on the right clients who truly are challenged by the Age of the Customer. So -- instead of going to companies, which -- where this is less of an issue. 
William Sutherland: Right. Just one question on the full-year guidance. The -- so the midpoint growth looks pretty mid-single-digit and on that, it appears, in terms of pro forma operating margin, that you're not really looking for any leverage this year. And so it's just a matter of a level of investment right now on top of fairly modest growth rate that that's the deal this year? 
Michael Doyle: It is, Bill. We made -- we went very lean in areas that aren't directly revenue-generating as well as streamlining a bit in the product -- project consulting organization, with the intent to fund both the investments that George has referenced, to fund investments and additional sales headcount. So the combination of those things drive expenses up, but don't necessarily, because they come in the latter part of the year, generate revenue for us. So yes, that's pretty much the formula. But again, the intent is that we are moving very much towards double-digit by the end of the year in terms of bookings activity. 
William Sutherland: Okay. And then last for me is just on Europe. You said it's a -- it was better than expectation. Can you just give us a little color on that? 
George Colony: I don't think it's necessarily macroeconomics. I think it's really about our execution. Jon McNerney has been there a year now running sales in Europe and it took him a while to get his feet underneath him, and he's doing a very good job there. So I'd say, this is primarily about execution, primarily about talent acquisition we made during the last 6 months. And very happy to see Europe back us -- they actually led is in Q1... 
William Sutherland: So that was my question, too, was the growth in line or better? 
Michael Doyle: Growth was better than what we had anticipated. So that for us was good. I mean, when you look at it, and we look at it 2 ways, sort of in region and then also where the activity is. And if you look at actual activity, European activity, which parses out large global vendors and looks at where people are buying and using, Europe led the way to George's point, in terms of growth, so we -- we're happy. And I'm with George, I think this has been an execution story and I think Jon has been working his plan in Europe for a year now and it's finally, I think, taking hold. So it's encouraging. 
George Colony: A little bit of worry here about Britain getting out of the EU. It's hard for us to really calculate. Our business is not a large business in Europe, but this will be -- we believe, will be bad for Britain. Britain -- actually, we said this in our research and it would be worrisome for -- I think, for continental. 
Operator: [Operator Instructions] And our next question comes from Vincent Colicchio from Barrington Research. 
Vincent Colicchio: Yes, I'm curious, George or Mike, the BT research business, how did that -- did that improve in the quarter? 
Michael Doyle: BT research, we -- the overall research numbers were good. What we see, still, is better performance in vendor versus user. So we're still working that. A lot of our focus now is as we've modified and added some new products, they get very much that end-user. The -- we piloted and are now moving more aggressively on the AoC research seat that we talked about. So that's beginning to get traction. I think more to come there, so it was good, not great. And it's still a work-in-progress. 
George Colony: What's happening there is the AoC seat events. So that gives exposure to the CIO and CIO's team to not only the technology management issues, but also the issues that are in the marketing space, which they have to be able to incorporate into their work, just because as you know, business technologies is for the customer, not for internal purposes. So AoC seat is helping here. 
Michael Doyle: I think that's the piece that the sales force is going to be leveraging as they go forward. I mean, it's still our biggest role and still gets the greatest focus and I think everybody's transitioning, to George's point, at different rates. And I think it's -- for us, it's about trying to match up what their needs are and give them the right products and it's still a work in progress. It was, like I would say, it's good, but not great, yet. 
Vincent Colicchio: And I realize that you're working on improving sales force productivity. I'm just curious, I know in recent quarters you've talked about the sales cycles are very long on your larger agents and customer deals. Has there been any change in that sales cycle sequentially, in the quarter? 
Michael Doyle: Not yet. I think a lot of the work that Mike is doing is intended to address that. So again, to George's point, it's really looking at each of our client and figuring out, where do they fit? We've done a nice job, I think, trying to segment what products and services each one is going to need and then matching that with an appropriate service model. And I think that's what's going to unleash a lot of productivity improvement. So we're not seeing it yet. But when -- as we move forward on a lot of this work, I think it's going to start accelerating in a meaningful way because we'll have a better match of our organization with what client needs are. And that's really the sort of the nub of what we're trying to -- where we're trying to go here. 
Vincent Colicchio: And did you buy back any stock in the quarter? And what are your thoughts on priorities for your cash going forward? 
Michael Doyle: We did not buyback any stock during the course of the quarter, Vince. And we -- but essentially, every quarter we have the discussion with the Board is what's the best use of the cash? And the sequence of events always starts with internal investment, what are the opportunities that we have inside the company to grow organically? And then looking at M&A activity as ways to enhance value. And then once we get beyond those strip points, then, obviously, repurchase dividends. So I think the board -- we've gone through process and we've had discussions with them as recently as yesterday, so I won't share what direction where we want to go yet, but it's the same discussion and I would say they're looking for -- and we had a healthy discussion around what's the best way for us to enhance value going forward? 
Operator: And our final question comes from Allen Klee from Sidoti & Company. 
Allen Klee: Could you give me a little more color on the -- what you see yourselves doing in the consulting segment, with the new leader? And how you see that potential either growing or rightsizing? 
George Colony: Yes, consulting is going to stay, will not grow faster than the business in total. As you know, we're looking to achieve a 70-30 split between syndicated and non-syndicated, so this is why we really liked Mack as a candidate here because he -- I don't know if you know IHS at all, but IHS runs at 90% syndicated, 10% non-syndicated, and he was able to really well navigate -- navigate that well at IHS to keep that in balance. So we're not hiring Mack to grow consulting faster than the total business. We're hiring Mack because -- Mack because we think he'll be able to really grow consulting alongside syndicated and then find synergy between those 2 businesses. 
Michael Doyle: And I think, Allen, that... 
George Colony: And he knows that coming in. 
Michael Doyle: And some perspective in the short term, I think that we're going to have movement. It's going to bounce around and maybe create some headaches for us in some quarters and give us some uplift as Mack comes in and tries to determine where he wants to place his bets to. The end game is ultimately that we're going to grow this business. I think that we -- to give you some history, we got into this separate project, consulting organization towards the end of '13 and built it out in '14. And we've been working through building out and sort of trying to find our footing and establish this is a very real part of our business. And I think we've streamlined and rightsized to a point and then we sort of hit the pause button until Mack walks in the door and he's going to then determine, where does he want to go? We think there's a real market out there. It absolutely has had some very positive desired effect on our analyst community that we've created more time for them to write, research and speak at events and be with clients, while they continue to deliver some pretty fantastic analyst advisory numbers. So it's had a very positive effect on that part of our revenue stream. It's just we're finding footing, and I think Mack will take us to the next level. But in the near term, Allen, and we'll try and give more color in each of the calls, it's going to give us noise. It's a little bit why our guidance is a little cautious for Q2 for example because Mack's just going to be walking in the door and so I think, we're going to have to wait and see where he goes. But the end game is, to George's point, that it would grow, probably not at the same rate as our syndicated research, but it's going to grow at healthy numbers. 
Allen Klee: Okay. And last question, just on -- you talked about digital as being one of the themes and digital reprints. How -- is there a way to think about the opportunity there? 
George Colony: Yes, that's good [indiscernible], but previously reprints were PDFs that we send out to vendors, who would then offer them up on their own website. And it was difficult to control. The value was -- the value was good, but the value -- it was on an interactive experience for either the vendor or the customer of the vendor. With digital reprints, and now that's hosted on our site, we're able to see all the entire customer flow much more interactive experience for the vendor who bought the reprints. Much better able to flow those leads back to the vendors, much easier to track, much easier to promote. So again, I talk about an uplift of I think it was 34% in reprints from Q-to-Q, from year-to-year and a lot of it is being driven by the digital nature of the reprints. So it's been a good boost for us. 
Operator: This concludes the question-and-answer session. I'll now turn the call to Mike Doyle for closing remarks. 
Michael Doyle: Okay. Thanks very much, everyone, for joining the call. We do -- George and I need to speed being out on the road and trying to see investors, and we'll be reaching out appropriately to book dates. But thanks, again, and we look forward with talking with you soon. 
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating, and you may now disconnect.